Operator: Good day everyone. Welcome to today's Transphorm, Inc. Fiscal First Quarter 2023 Financial Results and Business Update Call. Today's program is being recorded. All lines have been placed on mute to prevent any background noise. After our speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. At this time for opening remarks, I'd like to turn things over to Mr. Jack Perkins. Please go ahead sir.
Jack Perkins: Thank you, operator. Good afternoon. My name is Jack Perkins and I'll be your conference operator. I would like to welcome everyone today to Transphorm's business update conference call. Please be advised that today's conference call is being recorded. Joining today's call from Transphorm are Primit Parikh, Co-Founder, President and Chief Operating Officer; and Cameron McAulay, Chief Financial Officer. Before we begin, I'd like to point out that there is a slide presentation associated with today's call, in which management will be referencing during the conference call. These slides can be accessed through the live webcast link in the Investor Relations section of Transphorm's website, and they will also be posted on a link to PDF subsequent to today's conference call. Additionally, during the course of this call, the company may make forward-looking statements regarding the company's financial position, strategies, plans and future operations with specific end markets and other areas of discussion. It's not possible for the company or management to predict all the risks nor for the company to assess the total potential impact of all factors on its business or to the extent which any factor or combination of factors may cause actual results to differ materially from those contained in any forward-looking statements. In light of all these risks, uncertainties and assumptions, the forward-looking statements discussed during this call may or may not occur, and the actual results could differ materially and adversely from those anticipated or implied. Any projections as to the company's future performance represents management's views as of today, August 15, 2022, neither the company nor any person assumes responsibility for the accuracy or completeness of the forward-looking statements. The company undertakes no obligation to publicly update the forward-looking statements for any reason after the date of this call. To conform such statements to actual results or to changes in the company's expectations. For more detailed information on risks associated with the company's business, we refer you to the risk factors described on Transphorm's S-1, 10-KT and other subsequent filings with the SEC. With that, I will turn the call over to Transphorm's President and Chief Operating Officer, Primit Parikh. Primit, please go ahead.
Primit Parikh: Thank you, Jack. And thank you to our listeners and good afternoon everyone. We are pleased to report TGAN's 10th successive quarter of product revenue increase with product revenues well over $1.4 million, a 100% plus year-to-year increase and a total revenue of $5.2 million in the quarter, a 60% year-to-year increase and in line with consensus analyst estimates amidst what is continuing to be a challenging supply chain environment and COVID related shutdown slowdown in Asia still lingering on. This growth was made possible by our execution and leadership in high-power GaN which was more than 60% of our revenue mix. Executing towards the 500K plus units purchase order we announced last quarter as well as continued traction in low-power GaN. This was further enabled by the easy to use higher efficiency TGAN FET versus competing emod GaN solutions and is exemplified by wins such as the Phihong 65 Watt adapter, and the release of seven reference designs for the 65 watt to the 140 watt adapter range. These results have been a direct impact of our targeted investments in these areas, and we plan to continue investing in these areas in the future. An additional example of our high power leadership include the release of our surface mount, high-power D2PAK industry standard package and continued adoption in Hiral applications like the Japanese Nayuta Medical power supply, where TGAN enabled 73% loss reduction in a fanless design. Another example in a recent third-party teardown that revealed TGAN inside Asus's leading 1.6 watt gaming power supply, the first gaming PSU within Asus to the best of our knowledge to implement gallium nitride. TGAN, we believe is still the only GaN company to be shipping in high volume in multiple programs in the kilowatt range today, making us a one-stop-shop for GaN from low-power to high-power. We continue to see robust demand and our current backlog is at record levels. While we do see intermediate softness in certain market segments like Blockchain computing, this is presently being absorbed by other demand, but we will be watchful in the coming quarters. There is also clear Asia-China mobile handset softness. However, it has not been a significant factor for us since we are gaming, designing and market share from a relatively modest pace. Even in gallium nitride, which itself is a smaller portion of the total adopter, a total adapter power device market. For example, although still in early growth mode, we secured following orders for Fortune 165 Watt laptop adapter design wins that we talked last time and the worldwide e-retailer 140 Watt win, as well as a new pilot win for the leading brand TV manufacturers 100-inch TV power supply. The key challenge in front of us in the next two quarters is continuing to expand our capacity. In the May to July timeframe, we've had some delays in bringing more of our existing reactor capability in Japan online due to COVID related travel restrictions and a downstream supply chain issues in securing hardware and associated equipments. As a result, despite the record backlog, we do anticipate up to 30% lower product revenues in FQ223 versus FQ123. But recovering to resume growth back in FQ3 and FQ4 at about 30% sequential quarterly product revenue growth. For our government programs, we are finishing up our existing Navy manufacturing program for GaN epi materials, which is an important second vertical for Transphorm. A new program has just been announced that we will target to win using the same platform, which has enabled us to win the previous contract. The timing of this follow-on program is likely the beginning of calendar year 2023. On a separate domestic front, TGAN has much of its core GaN epi for manufacturing in the United States. And we will be thinking funding under the chipset to further support and scale this core U.S. manufacturing competence. Even with this challenges, we are still targeting a 40% to 45% increase in product revenues from FY '22 to FY '23. As I will walk through in the short presentation, we are aggressively taking steps to increase installed reactor capacity by acquiring additional reactors and having them in production around mid to second half of calendar 2023. With our high power strength and strong intellectual property, we are also targeting additional new market segments. An example of this is the electric two wheeler and three wheeler segment, especially in Asia. We expect this market to grow rapidly to a multimillion dollar base for us in FY 2024. This provides us with an early entry point into the key electric vehicle market with the four wheeler segment expected to follow in '24, '25. Overall, with the proven performance and design benefits of TGAN over competing solutions, and the leadership in high-power GaN with strong application based patent portfolio, we remain very strongly positioned to address the $3 billion GaN TAM in diverse areas like servers and communications, Blockchain computing, gaming, energy, in orders and electric vehicles, two wheelers, three wheelers, four wheelers while growing our share in the lower powered fast charger adapter segment. With that outline, I will next review some of the salient points of TGAN's value proposition as a recap and then outline our strong execution in April to June ending quarter and our key challenges over the next two quarters including the focus on our expansion strategy for FY 2023 and beyond. So first off as a recap for new listeners. Gallium Nitride is a wide-bandgap semiconductor material for power conversion that reduces electrical energy waste, enables compact power conversion footprint and lowers power system cost across a variety of electrical power conversion applications, laptop or mobile chargers, computing power or automotive inverters and does this much better than traditional Silicon and also better than other new semiconductors like silicon carbide. TGAN is an established innovator and design pioneer, a leading manufacturer, supplier of high voltage GaN power semiconductor products over the widest range of application from 30 watts low-power to over four kilowatts high-power, and in applications ranging from adapters and fast chargers to high-power data centers, mining, communication infrastructure, broad industrial renewables, and design-ins for automotive, a result of our solid core investment strategy and focus. Our fundamental intellectual property with over 1,000 patents from portfolio as well as our high performance high quality products have been validated by Blue chip customers and partners, financial partners, IC design partners, manufacturing partners, and automotive industrial market leaders as well as the U.S. Department of Defense. Our comprehensive and differentiated product offerings, backed by high quality manufacturing base that we essentially own has ramped in the market with over 60 billion field hours now in our customers product, including both high-power and low-power GaN again and resulted in over 24 million in revenues in FY 2022 in spite of a challenging supply chain environment. Above all, GaN is addressing large multibillion dollar growing market segment, including electric vehicles, 5G and smart charging, amongst other things. Our focus is building a strong product driven business, fast ramping, profitable growth. And we are already off to the races doing that. In FY 2024, we target more than 90% of our revenue base to be product revenues. And as you see today, we are already more than 80% in that regard. We are committed to making the required operating and capital investment for increased scale to meet higher demand, higher performance products and solutions for our customers and fostering GaN adoption across multiple end-markets that I talked about. To achieve our targets, long-term targets of well over 50% CAGR, gross margins of over 40% and operating margins exceeding 20%. TGAN is in a unique and differentiated position among the GaN suppliers today to have products in the market that address a multibillion dollar market opportunity for GaN, the GaN TAM for power conversion, from low-power to high-power, adapters and chargers, power servers, data servers, Blockchain, data comm that we are already ramped in to industrial energy and PV inverters, renewables now also in production with TGAN parts with our customers. And in the mid to long-term large growth opportunities with automotive electric vehicles, both EV two and three wheelers in the mid-term and four wheelers in the long-term, further bolstering our long-term growth beyond 2024-2025. Transphorm provides GaN solutions across this platform delivering higher efficiency compact systems with easy to use and easy to interface products with proven performance benefits against silicon, silicon carbide and other GaN solutions. One of our key attributes from early on and one of the key reasons of our success as well is the ownership of our GaN wafer production supply chain. This is an advantage that is becoming even more important in today's geopolitical climate. This starts with the design of our safe, robust and easy to interface normally of GaN FET. We directly own and control our GaN epi wafer manufacturing with multiple MOCVD reactors. These are the tools used for making or growing GaN material on silicon wafer, say for example, in two geographical locations, our California headquarters and Japan. Our wafer factory, the fab, Wafer-Fab is a joint venture with our financial strategic partner. And to remind it is a high quality manufacturing site with the only formally reported yields for GaN, matching that of silicon CMOS running in the same factory, a feature that has contributed to our high-power GaN products yield and quality. While packaging is done with some of our valued offset partners, we bring TBH a Transphorm IP in this design, for example, allowing GaN to be efficiently used in robust PO packages designed by high-power customers something that is not easy for other gallium nitride providers to do. Last but not the least, is our application and design efforts, both with customers and solution partners who work preferentially with our GaN for the controller and driver products, because Transphorm GaN is easy to interface and use like silicon. Next, I will discuss why TGAN wins in the various verticals from lower power to higher power. So as again adoption is happening fast, many good companies are in the market with gallium nitride, notably at lower power adapters and chargers, while TGAN is addressing today, both low power and high power together. Silicon obviously has been working great in the past. But now for short in efficiency speed and the small size required for new products GaN takes off from here. A few factors that outlined TGAN's differentiated benefits from compete again. First, we excel in ease of use and flexibility, compatibility with standard drivers and controllers. No extra BoM components or shrubbery is needed to interface our GaN, which is designed for the performance of GaN and look and feel of silicon to the users. This makes it very cost effective, especially in lower power chargers and adapters for smartphone and laptop where the total BoM cost is very important. The intrinsic gallium nitride performance is fully exploited by Transphorm to achieve the highest efficiency or lower losses among many other gallium nitride devices, and above all, bringing reliability and robustness across the whole power range. This is clearly evidenced by our proven wins with customer systems in production. As TGAN is adopted in many more market verticals today with higher range reliability and performance. As you can see, applications like server power gaming blockchain a variety of industrial and also high reliability aerospace. TGAN products addressing more than 10x of power levels that some of the other GaN offerings enable today. Along with the benefits of ease of use, reduced BoM and intrinsic GaN performance underlying the results for our high power dominance is that one other reason is that the typical e-mode gallium nitride interface is weaker and hard to operate in many common package types. The fundamental design innovations and directly controlled manufacturing also enable us to period dynamic performance from GaN FETs allowing smaller GaN die to be used for the same power level doing more with less or sometimes even two packages versus one from competing GaN. And this and again industry standard robust TO packages which customers are very used to and compact surface mount packages for applications such as adapters and chargers. And finally, higher the power higher the energy and carbon footprint impact that gallium nitride can deliver. For example, in blockchain computing one of the most power hungry applications. Our GaN is enabled 1% efficiency improvement and can save hundreds of kilowatts per year in one system, and well over 100 pounds of carbon footprint depending on your source of energy, with more than 50,000 metric ton reduction possible just from our 2022 outlook in these areas. The overall energy impact with more than the one -- more than the 120 terawatt energy consumed by blockchain worldwide with a 1% efficiency gain is staggering. With these type of benefits, a variety of customers have selected Transphorm GaN in adapters and chargers. With around 60 design-ins that we have secured. A latest one we released recently among others, is a design-in with Phihong a large and very reputable ODM supplying to a number of top tier mobile and laptop brands along with wins -- other wins across a range of power levels in the adapters. The higher power space is a large market for gallium nitride and very important. Again higher the power, higher the impact in energy savings, electricity savings and carbon footprint and the holistic level. Here our generation four and generation five SuperGaN offerings are compared to leading silicon carbide offerings as other type of GaN are not quite ready today for this type of high power, especially in thermally robust packages like the TIO247 due to their inherent device weakness. So we had showed this previously with our highest power 15 million product to the best we can tell this is still the lowest are on qualified and ramped in production in gallium nitride in a discrete TO247 package outperforming nicely silicon carbide MOSFETs and GFETs both good products by strong companies. In a standard package, in a standard bridge circuit with 25 to 38% lower loss and able to deliver 10 kilowatt class power from a single part. Now there are also third-party validations confirming the same thing. For example, recent technical paper at the PCIM, our Europe Conference where superiority of TGAN high power GaN over silicon carbide in a 5 kilowatt application was published. Customers have selected our higher power products across the spectrum. And some of our wins were built on the foundation of efficiency, performance, ease of use, reliability, and strong support. We've shared some of these in the past, and some interesting recent wins include high power gallium nitride, now entering the medical space, and another win that I talked about with Asus, a leading brand name in gaining power supplies. While there's a very significant high power growth for TGAN in the various segments I outlined and we are already ramped in some of them. Electric vehicle applications continue to present a massive long-term opportunity as the performance of GaN enables continued performance of electric vehicles addressing fundamental issues of power loss, heat generation, and range anxiety with high power density enabled fast charging, reduce size, and lower losses possible with GaN that ultimately results in faster charging and higher range. TGAN has AEC-Q101 which is the automotive qualification standard parts qualified today with our Gen IV higher power solution that have already ramped in various commercial and industrial markets with proven field reliability. We also announced our preliminary 1,200 volt gallium nitride R&D results at a premier IEEE conference in May, including 800 volt operation for which a 1,200 volt device is needed, and with higher efficiency over silicon carbide products. To accelerate in the electric vehicle segments, we have added a new vertical, namely the two wheeler and the three wheeler electric vehicle charging that fall right into the sweet spot of our today's high power solutions. The specific GaN opportunities in EV today are in the areas of OBCs onboard charger, DC-DC converter, and off-grid DC to AC auxiliary inverters in cars with the main drivetrain powertrain opportunity after '25, '26. That drivetrain, powertrain opportunity can infect triple the accessible GaN content to $200 conservatively. We aim to be in the full market with 650 volt today and higher voltage including addressing the 800 volt battery vehicle slot with 1,200 volt GaN in the future all key to electric vehicles. For the two and three wheeler, we are directly addressing a variety of charging opportunities, including the onboard charger. This is an attractive market with a TAM that approaches a billion dollars, and more importantly, near term revenue opportunities for TGAN. Next, we move to our fiscal Q1 '23 quarter performance and key vectors driving our growth. With our continued leadership in high power more than 60% revenue this quarter in this segment and increasing share in low power. We have successfully grown product revenue for a 10th quarter in a row even with supply challenges facing us, as well as some other softness emerging in some of the specific end markets like China handset market. We did this by satisfying existing demand and creating new wins like a foray of high voltage GaN products in the medical field with the debut of endless power supply and revenue from the gaming power market, evidenced in one way by the third-party tear down Asus 1.6 kilowatt GaN gaming power supply. And of course, continuing to ship in design wins that we have already secured and ramping fast. We gain solid designs in the adapter charger area. In this case, notably the Phihong win as well. Our business vectors focus remains squarely on supply chain management and capacity expansion with continued emphasis on demand generation and diversification. We exited the quarter with a record product revenue of $4.4 million, a record backlog with continued leadership in high power and new wins in adapters chargers. We added wins in this market bringing our total design-ins to 60 driven by our GaN FETs ease of use high performance and again facilitating a lower total BoM cost for the customer. The Phihong provides a strong proof point for this disadvantage of TGAN, the high power market continues to be strength of TGAN, as we added various diverse applications this quarter along with satisfying existing demand. We plan to continue to leverage this and expand into more segments, notably accelerating the EV adoption by addressing the electric two wheeler market with a revenue potential in calendar year 2023 as I discussed earlier. On the product side, we release a new high power surface mount package. In an industry standard widely used D2PAK product, consistent with the benefit of TGAN FETs that provide high power in industry standard packages. Our 1,200 volt GaN demo with R&D results, showing better performance in silicon carbide MOSFETs that has started to generate attention from EV customers. A key emphasis we are now addressing is on the supply side both getting internal existing capacity fully online, as well as acquiring new capacity. To the same we acquired more reactors that we plan to bring online by mid to the second half of CY 2023. With the goal of doubling capacity by the end of CY 2023 including further additional epi reactors. We need to make some of these investments ahead of time, especially due to long lead times for equipment. Secondly, while our wafer fab is well set for our FY 2023 requirements, and going into FY 2024, we are still targeting incremental investments in our JV factory for FY '24 growth and beyond. For packaging, like previously, we mentioned we have sufficient capacity in place for adapters and chargers PQFN products as well as our higher power products. And emphasis there will be adding skews like we did with D2PAK recently. The medium term scenario towards the end of FY '23 and start off FY '24 remain strong as our current capacity initiatives for both existing tools and new tools required are expected to start becoming additive quarter-by-quarter. Essentially supply chain management as well as capacity expansion our top focus areas over the next several quarters. We expect that with our strong balance sheet, leadership, and high powered products and increase share in lower power products. We will allow TGAN to continue our strong momentum forward. Strategic partnerships and our government initiatives are key for our business. The foremost being manufacturing and capacity increase now. First off, we have already successfully acquired two additional epi reactors that we aim to be fully online in the second half of calendar year 2023. The GlobalWafers Corporation partnership and the epi expansion there is on track. We completed our formal agreement with GWC this quarter. This will add capacity above and beyond our two additional reactors that I just mentioned. As our goal is to be aggressive on the capacity side with long-term demand scenario and our growth model remaining intact. On the wafer fab side, we continue to align plans with our JV partner and are investing an incremental capacity for next year. With respect to our customer partners, we completed agreement for centering our development program with Yaskawa on more targeted solution for servo motor drives and robotics. With this, we also secure now the pending $0.75 million development funding in July 2022. The Nexperia partnership remains strong, with continued focus on epi and wafer supply and also completing our generation V automotive qualification. Generation IV as a reminder has already been automotive qualified. We are continuing design and activities with Japan automotive customers in the OBC and DCBC areas. While this may take a bit longer, we are positioning for worldwide automotive EV opportunities now. Another clear EV acceleration initiative we are now executing on is the EV two wheeler and three wheeler market segment with real potential of calendar year 2023 revenue. Again, this is nearly a billion nearly a billion dollar market segment that we are targeting meaningful early ramps. On the government revenue side, our fiscal Q1 billing on the Navy program was around $0.7 million. We are now targeting a follow on in fiscal Q4. As the current program wraps up in fiscal Q3. We will also complete the 1,200 GaN effort with our ARPA-E program, which has given us an excellent proof point for our 1,200 volt initiative. Lastly, as many of you are aware, TGAN is a manufacturing company with significant core epi wafer manufacturing in the United States. We are aiming to position for the chipset funding with the objective to maintain and expand critical GaN epi ware manufacturing in the United States. All in all, whilst we and the broader semiconductor industry are in a challenging spot these few quarters, we are very excited to be in a strong secular GaN adoption growth phase, our long-term model remains attractive. And to that end, we are aggressively investing in capacity expansion. TGAN's focus remains in three key areas, one, capacity expansion and supply chain management, keeping up with and then next year staying ahead of demand, two, expanding our leadership in high-power GaN including opportunities to diversify our high-power base to better address market cycles, as well as accelerate EV revenues time to market and three with our fundamental better product value proposition, continue to gain share in the adapter and charger market. Notwithstanding the short-term headwinds, we expected our market position in gallium nitride as well as the strategy and initiatives we have outlined, will allow us to build our overall momentum and emerge even stronger at the end of FY 2023 going forward into FY '24 addressing the long-term growth model, I outlined at the onset. With that, over to Cameron to walk you through our financials in detail.
Cameron McAulay: Thank you, Primit and hello to everyone joining us today. Let me start with a brief recap of our financial results for our most recently completed quarter. From my remarks, I will refer both to GAAP and non-GAAP results which are reconciled to GAAP in our press release table. Non-GAAP results excludes stock-based compensation, depreciation, amortization and adjustments to fair value of a previously held convertible notes. Starting with the income statement, total GAAP and non-GAAP revenue comprising products and government was $5.2 million in the quarter. This represents a 5% quarterly growth when compared to $4.9 million products and revenue for the prior-quarter and a 60% improvement and the $3.2 million for the June 2021. This quarterly and year-over-year increase was driven by record product sales from ramping shipments. Product revenue forms the majority of our total revenue number over 85% in the quarter just completed as compared to just over 50% for the prior fiscal year. Focusing on product sales last quarter saw our 10th successive quarter of product revenue growth and record product revenue of over $4.4 million. This represents a 10% increase from the prior quarter and an increase of over 90% over the same quarter in the prior-year. This growth has been driven across a broad range power conversion applications including fast chargers and adapters, gaining, datacenter, industrial and Blockchain applications. The gross margin in the quarter was 21.5%, a 1% decrease from the prior-quarter, that is primarily due to some cost increases, slightly reduced government income and continued investment in our production team. As mentioned in our prior earnings call, the company's progressing towards its long-term model of gross margins in excess of 40%. A number of actions, including new product introductions, discrete ongoing cost efficiency activities, and benefits that we will receive as we continue to grow in scale will contribute to this. Operating expenses on a non-GAAP basis were $5.4 million in the quarter compared to $4.7 million in the prior-quarter. This growth been driven by G&A costs associated with our year-end procedures and personnel costs as we continue to increase our team to support our operations across all aspects of the company, including G&A, sales, applications and R&D. When comparing non-GAAP OpEx to the same quarter on the prior-year, we saw a 70% increase again due to personnel increases across the company and ongoing compliance costs. Turning to EPS, I will focus my remarks here on non-GAAP results. The revenue growth together with continued OpEx management resulted in a non-GAAP EPS loss at $0.08 in the quarter, flat to the prior-quarter and a $0.05 improvement on the same quarter in the prior-year. From an operational perspective, we continue to see strong traction in our targeted markets. Q1 saw record product bookings contributing to a strong backlog position, including the over 500 K unit production order the company two kilowatt class power supply in the quarter. We are fully booked for the current quarter, our short-term focus is being on product execution and enabling capacity expansion to support medium to long-term growth. We also continue to invest in the long-term growth engine of the company. As Primit mentioned, we purchased two additional reactors and we anticipate bringing these reactors online in the second half of calendar 2023. Turning now to the balance sheet, Q1 saw the company continued to strengthen. Our cash position improves by over $9.5 million due to our Greenshoe in the quarter offset by operational burn. We exited the quarter with over $43 million in cash and cash equivalents, providing a stable runway for the company to grow. Inventory also grew as we look to support our backlog position, other assets and liabilities remain stable. Our activities have improved the shareholders equity position by $11 million in the coming quarter, and $73 million when compared to the same quarter in the prior fiscal year. These activities provide the company a strong platform for this fiscal year. Looking ahead, we will remain open to opportunities to further strengthen our balance sheet to ensure that we are able to continue to invest in our growth. We also successfully completed our first quarter as a NASDAQ listed company and have seen our average trading volume increased significantly since the uplist was completed in February. We were also added to the Russell 2000 and 3000 indexes. Transitioning now, from our financial performance, I wanted to touch briefly on positioning. The company is well positioned to grow across multiple segments, including consumer data centers, Blockchain, industrial and in the longer-term the EV market. We are now at a stage where we have seen and continue to see strong adoption in the higher power space and over 500 K unit production order as an integral -- for the three kilowatt class supply. In consumer, we secured a laptop adaptive design win from a Tier 1 Fortune 100 company, including an additional purchase order and follow-on orders. Most recently, we announced a technology will pair Phihong's port 65 watt adapter. Revenue traction exists today in several segments, we have seen strong traction and have grown production revenues and quarters in succession. Looking ahead, our strength in balance sheet will allow us to continue to invest in a growth engine across all aspects of the company, both from a staffing and a capacity perspective. With a strong foundation in place, our focus comes to execution, ensuring that we can support the growing demand and what we believe will be a broad market inflection point in medium term. In addition to our existing revenue streams, we expect to see initial wins in the Automotive segment, including two, three and four wheelers in this. From there, the company will drive towards our long-term target model enabled by continued momentum across multiple segments. Concluding now with a few key highlights, Transphorm publicly listed on the NASDAQ Exchange under the symbol TGAN is a pioneer and leading provider of GaN per conversion devices. We have disruptive technology that provides solutions to them, across a number of significant growing markets. We have established a strong network of Blue chip partners including KKR, [indiscernible] and others. We are commercially ramping with strong production revenue growth now growing for 10 successive quarters. We have a comprehensive product offering today that meets our customers needs across a wide range of power levels and segments all of this underpinned by strong balance sheet, the industry strongest IP position and a deep and talented team. This completes our prepared materials and remarks and we'd like to open the call to any questions. Operator, please proceed with the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] We'll hear first today from Craig Ellis. Excuse me, we'll go first today from Ananda Baruah with Loop Capital.
Ananda Baruah: Thanks guys for taking the question. Yes, listen, congratulations on all sort of the progress across the board. A few if I could. It sounds like I just wanted to, this is more of a clarification. Is it accurate to say that the demand is actually has been accelerating? That's kind of what I got from you, have collected with your remarks but I want to actually just make -- clarify to make sure that's accurate.
Primit Parikh: Yes, and the like we said we have a record backlog and we are getting new demand and like I said, some the good part, good news with Transphorm is we are diversified into low-power and high-power and various high-power segments. So sometimes the segment has softness like I said Blockchain is temporary segmental softness, but that gets offset by other areas we are into. So yes overall. Right now, we ended the quarter with record backlog.
Ananda Baruah: Okay, great, great, great one. And is it also accurate that that really what the constraint is really the capacity constraints and the Japan situation, it didn't sound to me like incremental component constraints was really what's holding you back sounded to me like it was really the capacity situation. Is that accurate?
Primit Parikh: Yes, primarily, that is exactly correct. Capacity related to our Japan capacity, especially Japan reactor capability that we have.
Ananda Baruah: Awesome, awesome. And then just the last one for me is Cameron, just in your prepared remarks, you made mention of an inflection point in the medium term. And I think you said that was an industry situation. But could you just give more context around that for us? That would be awesome. Thanks.
Cameron McAulay: No, I think Ananda it is something that we've continued to believe and we see in our interactions with customers across a number, a number of markets that the progress that gallium nitride is making. And I think that you can bear those factors. And it looks as if that we should reach that inflection point in the medium term. You never know exactly when it will be. But all of the things that we are seeing with the demand that we're experiencing, and the technology that is out there for gallium nitride point towards that in our minds.
Ananda Baruah: Okay, that's awesome. Can really somebody ask you this, any context on sort of what medium term means, like what kind of time range is useful for us to think about?
Cameron McAulay: Yes, I think when we think about that, the slide talks about that kind of 2023, early '24 type of things.
Ananda Baruah: Awesome, thanks guys.
Cameron McAulay: Thank you.
Operator: We will hear next from Craig Ellis with B. Riley Securities.
Craig Ellis: Yes, thanks for taking the question and all the color today, guys. I just wanted to make sure I understood the second quarter issue with a 30% decline. So are you saying this is all a capacity issue in China? And there's not anything either from the supply chain, or related to end demand? It's purely a capacity situation?
Cameron McAulay: Yes, this is primarily a capacity situation that we have not China, but in Japan primarily, like we said you again online restrictions of COVID related travel, and there were downstream supply chain issues in securing hardware, but again associated with this equipment. So it is due to that not due to the slowdown -- slowdown in demand at this time.
Craig Ellis: Okay, and then, given that I think we've had some challenges with capacity and Transphorm is not the only one. But I know we've had multiple quarters of capacity challenges. Cameron, what gives you confidence to suggest that that we could see a 30% increase in revenue beyond fiscal 2Q and fiscal 3Q and what are some of the gives and takes quarter-on-quarter as you look at the order book and backlog from 2Q to 3Q?
Cameron McAulay: Sure. I think certainly, this is not as Primit mentioned, the demand issue, demand is solid and bookings are solid, it really a confidence as a function of our ability to bring our existing capacity up and running. And we've made some good progress on that. So that's where we feel that whilst you would see 30% down in the next quarter, as Primit mentioned, you know we feel confident that we can reverse that trend and FQ3 and FQ4 were sequential 30% increases there.
Craig Ellis: And what are the three or four things that investors should be looking at operationally that will drive that improvement, Cameron? Can you just help us with some of the specifics that are on the company's dashboard that are giving you confidence so we can have an idea and a sense for what levers you're pulling to get the 30% increase?
Cameron McAulay: Primit, can you talk to that from an operational standpoint?
Primit Parikh: Yes, sure. Of course. So that we outlined when we say I talked about scaling, scaling our product revenue, right? And how do we do that, right, including shares in high-power, shares in low-power on that on the demand side, qualifying our new products that's on the product portfolio side along with reference designs and solution partners. And then importantly, the current challenge on the capacity, we are bringing our existing reactors online. And also like we said, we acquired new reactor capacity already and also we have initiated longer-term initiatives, for example, with GlobalWafers for further capacity, right. So overall, all of these initiatives together will allow us to double the installed capacity base that we have today, as we look at in several quarters out.
Craig Ellis: Got it. And then just two more and I'll hop back in the queue. The first one, Cameron, what are the implications for operating expense in the near term with the decrease in fiscal Q2 revenues flattish? Are you expect incremental investment for the longer-term opportunity you see are for the belt tightening there?
Cameron McAulay: Yes, that's a great question. I mean, I think Craig we have to react when you see -- when you have these revenue results. We run our OpEx pretty tightly. And we will continue to do that. We'll continue to look at ways to save money. And we'll continue to look at ways to obviously support the company, but do it in a responsible manner. OpEx did increase this quarter, but it increased less than production revenue. And that's a good model for us as we continue to look to manage, spend, and manage the business.
Craig Ellis: Got it. And then lastly, you mentioned the Greenshoe a couple times. And when I looked at the balance sheet, I saw a term loan on there at $12 million. Can you just provide a little color on that?
Cameron McAulay: Sure. That is a $12 million revolver that we have with apartment experience. And is it matures in the early part of FY '24.
Craig Ellis: Got it. That's right. Thanks, guys. We'll be back in the queue.
Operator: We'll hear next from David Williams with the Benchmark Company.
David Williams: Hey, good afternoon. Thanks for taking the question. Congrats on the continued progress. I know you've got some the constraints there on the supply side capacity, but just kind of curious if you look at your backlog, and think about how much was left on the table this quarter of what was requested to be shipped. How much do you think can you quantify that in any way?
Cameron McAulay: I think I mean, we've got from backlog David, but I think it's backlog that wasn't all for this particular quarter. Those backlog in place for the longer-term. So I don't think that there was a lot left on the table in that regard. I mean, I think what makes us feel comfortable is the fact that the backlogs stretches over the next two to three quarters. So not -- I wouldn't say the number would have been much different as we had all the capacity in the one we did.
Primit Parikh: So that limitation, Dave, comes from leaving on and working with our customers carefully. That comes from the basically the next quarter on quarter end onwards, right. The FQ1 like Cameron reiterated we did actually we increased product revenue significantly to $4.4 million, right, which even the prior FQ4 of '22 FQ1 of '23 we increased product revenue significantly. The limited supply constraints now come from FQ2. And then we go back to improving that in FQ3 and FQ4.
David Williams: Okay. So it feels like you're at least shipping in consumption or what your customers are looking for had been. Okay, that makes sense. And I guess from you talked a little bit about the silicon carbide and the performance advantage that you have, but just curious if you're seeing anyone changing are our customers coming to you looking to design out maybe a silicon carbide design yet just kind of thinking about the 1,200 volt and opportunities there.
Primit Parikh: On the 1,200 volt just to be -- we have announced initial R&D results that look extremely promising. [Technical Difficulty].
David Williams: Okay, and you were cutting out just a bit there, so I'm not sure if you can still hear me.
Primit Parikh: [Technical Difficulty] we will aim to do now in the future. So the initial announcement has peaked a lot of interest and caught people by surprise that GaN can now play in the 1,200 volt space, right, and bodes very well for overall for GaN and Transphorm that we can play in this space in the future. But it's not to a point yet where people will start designing out silicon carbide with our 1,200 volt GaN, because it's not yet a qualified release product. Does that make sense?
David Williams: It absolutely does. Thank you so much. And just maybe one last one for me if I can, on the automotive and you might have -- you talked a little bit about this on the call, but you talked two wheelers and three wheeler applications and just kind of curious, can you remind us of the exclusivity agreement when that expires for the four wheeler, or regular automotive type vehicles and kind of when you think that are maybe talk about any traction you've had there over the last two to three quarters?
Primit Parikh: Yes, so -- again, the primary reason we are looking at in either two wheeler, three wheeler is because it's just an earlier insertion point is just right aligned with the solutions and products that we have, right. The power range is very well aligned. So it's an earlier insertion point. That's how we are looking at it. Separately on a different note, the exclusivity that you referred to on the four wheeler side that expires in April of 2023. But notwithstanding the exclusivity, we have an experience our valued partner and that collaboration. We will continue obviously in the future.
David Williams: Thanks again. Certainly appreciate the help.
Operator: [Operator Instructions]. We'll move next to Richard Shannon with Craig-Hallum Capital Group.
Richard Shannon: Well, thanks guys for taking my question. Maybe just a quick one here. I jumped on the call a little late. So I may have missed the complete detail here. But did I hear correctly that your guiding revenues down 30% in the September quarter, and then 30% growth each of the next two quarters? Is that correct?
Primit Parikh: Yes, that's right.
Richard Shannon: Okay, perfect. Thanks for that. And then I think there was a question I want to follow on and maybe ask a little bit more detail here again, about the confidence and be able to bring the capacity online here in Japan. So you can get those two quarters narrow sequential growth? Is it a matter of getting the equipment in place? Is that already in place? And if that is and what are the other hindrances and obstacles that you have confidence you're going to get be able to get over?
Primit Parikh: [Technical Difficulty] that has improved now. And then last, but not the least, it was a travel restrictions due to COVID which prevented our core team from the U.S. getting over there and getting all of that activity going there and jump started. And now that is also beyond us. Now we are able to address the travel related equipment. So we are already seeing some positive vector of the supply from the Japan reactors. And that is what gives us the confidence that after the FQ2 situation is handled the FQ3 and FQ4 we can address that 30% QoQ growth.
Richard Shannon: Okay, Primit, I'll have to ask you to get that question offline because your line was badly garbled there. I think David also was experiencing that too. So just FYI, your line is fairly bad there. One last question for me. And I'll jump out of line here. It's interesting that I know you talked about it's in the last quarter as well. But there's two and three wheeler market where you get a faster time to market. And you characterize this as a $1 billion TAM. Maybe I don't have a good first person understanding of those markets, how big they are worldwide. But that seems like a fairly substantial TAM. Can you kind of compare this from a units of content basis to the broader automotive market? And are you seeing any different reliability and competitive dynamics in that market?
Primit Parikh: Sure. And hopefully, the line is not garbled this time. But so overall if you think about it…
Richard Shannon: It's good right now, Primit. Thanks.
Primit Parikh: Perfect. It's you -- we see as just in Asia kind of thing, right? The Asia were 75 million wheelers and three wheelers additional, so think about it as 75 million to 100 million vehicles and probably more worldwide. And think about charging content of say $8 to $10 per vehicle right are associated with one vehicle, because sometimes it's charging is afford as well. So that's what kind of the 100 million vehicles times $10 roughly gives a $1 billion total TAM. And the second part of the question, obviously you have one has to be reliable. There is there is no doubt, but the primary entry point we are targeting in the two wheeler, three wheelers is the onboard charger. So [Technical Difficulty].
Richard Shannon: Okay, Primit I don't know if you just finished talking, but it just got garbled again. I appreciate the thoughts. I'm going to jump out of line, but thanks for your time.
Operator: And that will conclude today's question-and-answer session for this afternoon. At this time, I'd like to turn things back to Primit for any closing remarks.
Primit Parikh: [Technical Difficulty] execute on our long-term growth model, which is a 50% CAGR with 40% gross margins and 20% operating margins and we look forward to gaining market share and meeting our customer needs in gallium nitride. Thank you so much.
Operator: That will conclude today's conference call. We do appreciate your participation and you may now disconnect.